Carmen Calisto: Hello and welcome to Karooooo's Financial Year 2024 Q4 and Full Year Earnings Call. On behalf of Karooooo, we would like to thank you for joining us today. I'm Carmen, the Group's Chief Strategy and Marketing Officer, and together with Hoeshin, our Group's Chief Financial Officer, we will be taking you through our key business updates and robust financial performance. All investors are advised to read through the disclaimer. We will be reviewing all three of Karooooo's business units in today's webinar, namely Cartrack, Carzuka and Karooooo Logistics. Please note this is the last earnings call in which we will report on Carzuka as a standalone segment as its remaining operations are integrated in supporting the Cartrack operations. Karooooo remains committed to our mission of being the leading operations cloud. Our focus is to simplify the lives of operators and maximize the scale and efficiency of their operation. Our innovative platform goes far beyond connected vehicles and equipment to centralize and unify an entire operation into one single place. We continue to help customers conquer complex challenges around safety, compliance, productivity, service delivery, cost management, fuel, maintenance, routing, resource allocation, driver and worker retention, and more. Our platform leverages our large data scale AI and data analytics to offer customers pragmatic insights that simplify problem-solving to ensure successful implementation. We are helping to pave the benchmark and future of efficiency, safety and impact for operational businesses and continue to believe we have a large runway for growth. We have comfortably met our financial year outlook targets in all categories and continue on our over 10-year track record of strong growth and financial performance. We ended the financial year with over 1,972,000 subscribers, Cartrack subscription revenue of ZAR3,523 million and an operating profit margin of 30%. We continue to focus on proving our ability to execute as we show strong growth whilst maintaining strong discipline in our capital allocation. We continue to see that our hard-to-replicate culture stands as a true game changer for our ability to execute. Guided by our Founder-led ethos, our management team embodies an entrepreneurial spirit and fosters an owner-orientated mindset throughout teams in our entire business. At the core of our culture lies transparency, a principle we uphold unapologetically. This is not for everyone, but it is how we continue to build loyal teams that achieve. We reject the idea of closed-door meetings and instead choose open floor plans and candid communication. We are open about individual and team weaknesses so that we know what to expect from each other and how to work together to empower each other through our strengths in order to maximize our collective impact. Pragmatism defines our approach, emphasizing implementation and execution. We prioritize ease of use and practicality in everything we do to ensure seamless integration into our customers' workflows. Our focus remains on tangible outcomes. We are impact-orientated, not fanciful and idea-orientated. We also remain agile. We adapt, innovate and refine our processes with a sense of urgency. This mindset empowers us to break barriers, drive innovation and continuously enhance our platform and value proposition for customers. In embracing these principles, we continue to grow at scale with strong efficiencies. We continue to execute in different markets under varying macroeconomic environments. We continue to innovate and evolve our platform, embracing new technologies in practical ways and we continue to do so whilst remaining disciplined with our capital allocation. Our commitment to product innovation and development remains and we continue to invest in our AI capabilities. We have witnessed the profound impact that our data-enabled AI platform has on operational efficiency by empowering operators to address complex challenges head-on. The key to our success with AI has been our unique ability to derive simple-to-use use tools that harness AI to deliver tangible insights and practical applications for customers. Through the combination of our AI-enabled cameras and easy-to-use and fully digitalized driver coaching tools, we have delivered an end-to-end solution to customers that ensures they conduct effective coaching that focuses on the right things and ensures change happens. A prime example of our solutions' efficacy is showcased by a leading mine in South Africa who has flipped their standing on safety. Within just one month, they have achieved dramatic improvement in critical high-risk driver behavior that often leads to accidents and fatalities. Fatigue driving incidents have decreased by 32%, mobile phone usage by 13%, seatbelt non-compliance by 35%, and camera coverage, which is indicative of non-compliance with safety or other protocols, has plummeted by 40%. These transformative outcomes prove the power of our end-to-end solution in revolutionizing safety standards and operational efficiency. As we continue to innovate, we remain dedicated to driving positive change and fostering safer work environments globally. Karooooo's leading operations cloud now drives the digital transformation of over 121,000 commercial customers. We consistently demonstrate high implementation success and maintain a 95% commercial customer retention rate across businesses of various sizes in all industries, from logistics to construction and from emergency services to tourism. We continue to have low industry and customer concentration risk. We also continue to leverage our vast data set to empower our customers with full visibility and control of their operation by offering them meaningful insights and practical tools for simplified decision-making. Our platform offers customers an undeniable value proposition with a high ROI within weeks. Karooooo is positioned for growth. We have continued to strategically invest in infrastructure for customer acquisition, high customer service delivery and strong product innovation. We continue to believe that Southeast Asia will be our largest driver of growth in the medium to long term. We have added new members to our leadership team who are all focused on execution and growth and have continued to build out our sales and support infrastructure and have successfully increased our presence in new provinces. Our internal systems play a large role in our ability to deliver such strong customer service at scale and we continue to improve on them to ensure we can adhere to our standards as we continue to grow. Our team is excited to move into our new head office building in South Africa in Q2 of FY '25, which will allow us to further unlock the impact of our culture. We have established innovative partnerships to leverage our data scale and AI enabled platform which we will continue to nurture and we have a strong cash position and strong cash generation to fuel our growth. I will now hand over to Hoeshin, who will take us through our financial performance.
Goy Hoeshin: Thank you, Carmen. I will now talk through Karooooo's financial performance for quarter four FY '24. Please note that all comparisons are against quarter-four FY '23 unless otherwise stated. Financial year '24 has been an exciting year for us. We delivered record subscription revenue and earnings while maintaining our momentum of growth and demonstrating our financial discipline. Our consistent strong result further extend our long-standing track record of scalable growth, providing us with multiple levels for continued expansion. In this quarter, our subscription revenue up 18% to ZAR935 million and on a year-to-date basis up by 17% to ZAR3,536 million. Operating profit up by 25% to ZAR296 million and on a year-to-date basis up by 18% to ZAR1,043 million. Earnings per share up by 45% to ZAR6.81 and on a year-to-date basis up by 24% to ZAR23.85. We will maintain our robust business model with our focus remain on growing our subscription revenue as we continue our investment to scale the business. Earnings for this quarter were ZAR215 million and our free cash flow was ZAR161 million. Our free cash flow has remained positive despite our investment in the development of our new South African central office. Up to this quarter, we have invested ZAR263 million in this development. Our results were achieved through strong financial discipline as we continue to make strategic investment for sustainable long-term growth. Our high cash conversion demonstrates our focused capital allocation and we will remain focused in this approach. Our earnings are benefiting from our robust economies of scale. Karooooo's earnings per share in this quarter grew by 45% to ZAR6.81. The increase is the result of positive revenue growth and improved profitability despite our prudent and strategic investment for growth. On a year-to-date basis, our earnings per share accelerates to ZAR23.85. Karooooo Logistics started to see its traction contributing ZAR0.48 of positive earnings per share to the group. Our year-to-date earnings per share was impacted by ZAR1.40 for the provision we made for Carzuka's reduced operations. Going forward, we will see reporting Carzuka as the standalone segment as it integrates into Cartrack's border business operations. Our financial performance in this quarter showcased a strong cash position with net cash on hand plus cash in bank fixed deposit reaching ZAR922 million. Debtor's turnover days improving to 29 days alongside with prudent provisioning to weather off strong economic headwinds in some of the markets we are operating. Given our strong cash position and cash generation, currently, we expect to declare a dividend in quarter two FY '25, a testament to our confidence in our robust business model that are backed by a strong and clean balance sheet. We will now focus on Cartrack, the underlying assets to Karooooo's success. Our momentum continued in this quarter as Cartrack extend its decade-plus track record of growth at scale, profitability and cash generation ability. Overall, subscriber grew at scale by 15% to 1,972,000. Subscription revenue grew by 17% to ZAR930 million, while operating profit grew to ZAR289 million. Cartrack has consistently proved its ability to scale in varying macroeconomic conditions and consistently beaten the Rule of 40. Our compounded annual growth rate has proven to be strong and consistent over the past 10 years. Specifically, our subscriber CAGR stood at 19% and subscription revenue CAGR at 22%, gross profit CAGR at 18% and operating profit CAGR at 15%. These results underscore our robust business model and strategic execution. Our commitment to disciplined financial management and strategic investment positions us well for continued success and sustainable long-term growth. Cartrack’s strong subscriber drove its overall sales revenue growth. Total revenue growth in this quarter grew by 20% to ZAR958 million. On a year-to-date basis, total revenue grew 17% to ZAR3,614 million. Cartrack's total subscription revenue grew 17% to ZAR930 million. On a year-to-date basis, Cartrack's total subscription revenue grew 17% to ZAR3,523 million. Cartrack's total subscription revenue represent 97% of total revenue, in line with our SaaS business model. The strong performance of Cartrack was largely supported by demand of small enterprise to large enterprise to improve compliance function and to digitally transform their business to become more efficient and competitive. As Cartrack continues to have strong visibility of its future SaaS revenue, our realization of economies of scale continued to expand our earnings and maintain our high margin. In due quarter, earnings per share stood at ZAR6.52, up 27% comparing to previous quarter. Gross profit for quarter four up by 21% to ZAR686 million and on a year-to-date basis gross profit up by 18% to ZAR2,589 million. Gross profit margin has remained consistent at 72%. Operating profit for quarter four up by 17% to ZAR289 million, and on a year-to-date basis, operating profit up by 17% to ZAR1,069 million. Operating profit margin has remained consistent at 30%. Adjusted EBITDA up by 22% to ZAR454 million, and on a year-to-date basis, adjusted EBITDA up by 17% to ZAR1,710 million. Adjusted EBITDA margin has remained consistent at 47%. These results prove Cartrack's ability to maintain high margins and bolster our winning capability to be a leading operation cloud service provider in the market. Cartrack low cost of acquiring a customer, high customer lifetime value and retention rate, as well as strong benefits from economies of scale results in our leading unit economics. our LTV to CAC is over nine. We have strong profit margins with our gross profit margin on subscription revenue at 72% and commercial customer retention rate of 95%. Given our track record, we are well-positioned to continue scaling our business. Over the years, Cartrack has maintained a steady ARPU and average upfront cost of acquiring a subscriber. ARPU for the quarter was ZAR160. Cartrack's average lifetime revenue per subscriber in this quarter stood at ZAR9,593. The average upfront cost of adding a subscriber to our cloud in this quarter was ZAR2,281. These costs mainly relate to sales commission and telematics device which are capitalized, and sales and marketing expenses that are expensed off. The headroom, derived from the average lifetime revenue per subscriber, after subtracting the average upfront cost of adding a subscriber was ZAR7,312 per subscriber. From the ZAR7,312, we incur the cost to service a subscriber over the contract life cycle of 60 months. The cost to service a subscriber decreased as we grew our subscriber base. Our unit economics have remained steady allowing us strong operating profits. Cartrack continues to grow its subscriber base and ARR to expand in all geographies. Our subscribers in South Africa grew by 14% despite challenging trading conditions. Given that we continuously pass on additional benefits to our customer and have a rich data pool, we believe we will continue to see strong customer demand in this region. In Asia, the Middle East and USA, subscribers grew by 24% as the traction in South East Asia has been encouraging. South East Asia remain as the second largest contributor to the group's revenue presenting the most compelling growth opportunity and deliver increasing and sustainable income to the group in medium to long term. Europe saw a healthy growth of 16% and remains a key focus area for our resource allocation. Leading OEMs have partnered with us, providing their customer access to our platform and driving our growth. We are poised to leverage our extensive offering to further develop the connected vehicle ecosystem and expect this partnership to contribute to our results in medium-term. In addition, we are experiencing encouraging demand for our proprietary compliance technology in the region. Africa-others maintained its growth with 12% increase in subscriber. At the end of Q4, our ARR increased 16% to ZAR3,749 million. This encouraging trend reflects our continued momentum in our subscriber growth and ARR. Cartrack's continues to have robust operating margins and our trends are in line with the long-term financial goal set out upon our listing in 2021. Our subscription revenue gross profit margin stood at 72%, which is consistent with our expectation. Research and development expense as a percentage of subscription revenue are 6% as we focus on driving substantial benefit from our R&D capital allocation. Our planned investment in improving, enriching and expanding our operation cloud and internal management system aim to enhance our value proposition to our customers. Sales and marketing expense as a percentage of subscription revenue stood at 13%. We believe the strategic investment for customer acquisition positions us well for continued growth and we expect to see future benefit from this investment. General and admin expenses as a percentage of subscription revenue are at 21%. The expenses have been relatively stable to reflect our commitment to build strong support infrastructure to meet our future growth plan, yet being pragmatic in our spending. Operating profit as a percentage of subscription revenue are 30% and adjusted EBITDA as a percentage of subscription revenue is at 49%. Karooooo Logistics delivered significant growth generating ZAR93 million in revenue, up by 65% and a commendable operating profit of ZAR7 million, up by 201% in this quarter. Its focus on delivery as a service through selected third-party crowd-sourced drivers and logistics companies has been highly scalable and is delivering substantial growth. While it continues to integrate into Cartrack platform to expand its customer base, the Karooooo Logistics stack is expected to deliver a long-term revenue stream to the group. We believe the benefits of our strategic investment in this segment are starting to manifest given its strong quarter-to-quarter SaaS revenue growth. We are pleased to have comfortably met our 2024 outlook and are satisfied with our performance. We are committed to maintaining this momentum and driving further growth in 2025. Our mission is to be a leading operation cloud service provider and we believe Karooooo is well-positioned for the growth. We operated in a growing and largely underpenetrated market with strong demand coming from customers needing to differentiate and digitalize themselves. We expect our continuous investment in our AI products, platform and customer experience continue to generate robust results in the future. Our outlook for FY 2025 are, number of subscribers between 2.2 million to 2.4 million, Cartrack subscription revenue between ZAR3.9 million to ZAR4.15 million, Cartrack's operating profit margin between 27% to 31%, and Karooooo's earnings per shares between ZAR27.5 to ZAR31. I would like to thank everybody for joining us today and we will now open the floor to Q&A with our group CEO and Founder, Mr. Zak Calisto.
A - Zak Calisto: A question from David Eborall. Congrats on the results, Zak. You announced in February that you -- your company will be buying back 1 million shares, but only 50,000 purchased this quarter. David, the first thing is we said up to 1 million, not 1 million. But I get your point. Are you planning to buy the 1 million shares? David, we continue to plan to buy shares, so we will definitely do that. And what's only allowed us to buy in the region of about 50,000 shares was really the strict SEC rules to buy shares on the open market so that we've got quite severe limitations given our low liquidity. But we rely heavily on being able to buy blocks and our broker has reached out to our investor base and we bought two very small blocks and we weren't able to buy any and none of the other investors with sellers. Next question from Alex from Stifel. Can you comment if anything changed throughout fiscal Q4 in terms of linearity of subscriber editions and now have subscriber editions tracked thus far in fiscal first quarter? We see a very, very good Q1 at this point in time. It's public knowledge that we've surpassed 2 million subscribers now, and we are expecting to have a good Q1 in this quarter. And I think last year it's very much in keeping with our outlook. And, given the outlook we're giving for this year, we certainly believe we'll definitely meet it. But so far, the first two months of the year have been very encouraging. Another question from Alex from Stifel. Looks like the subscriber count guide implies a step up in quarter ads from about 60,000 this year to 80,000 throughout fiscal year 2025. So what gives you the confidence in the acceleration there? I think during the last two financial years, and specifically in the last financial year, we've really allocated a lot of capital in growing and improving the way we guide and manage and educate internally our staff and our sales teams. And we believe that's certainly going to give us yield in FY '25 and beyond. Question from Sandile. You are buying back 10% of your shares in issue. Who is selling? Well, who is selling, any shareholders that's willing to sell, we are in the market buying. Secondly, on current investment in growth and current free cash flow run what needs to happen under your control to double non-affiliates free cash flow to over a billion, just as you have doubled EBIT over four years? I think our free cash flow is something that we definitely look at, but our main focus is not growing free cash flow. Our main focus is actually growing the business as such. And if we grow our business substantially faster than we grow now, that will actually have a negative impact on our free cash flow. So while free cash flow is definitely a very important measure to us, it's more important for us is the way we allocate capital. And we've got other metrics that we prioritize over the free cash flow metrics. Then, why is the share repurchase program more appealing to you over dividends? Well, the share buyback is in itself a dividend to all the shareholders. And we believe that the -- our share is undervalued, and that's why we have opted to also do share buybacks. Another question from David Eborall. Just looking at your guidance. If we take this incremental revenue, incremental subs for the highest scenario, the ARPU projected to drop from 160 to 120. David, I haven't got the exact metrics and I'm reading these questions as they come through. So I'll have to look at that to see how you get to these numbers. But just looking at the question, something looks wrong. And I don't believe that would be the case. So it just depends how you've calculated this, David. I will look at it and I will answer you via email because I'd have to look at how you did this arithmetic. Gokul Raj. How big can Karooooo Logistics get in three-year to four-year time -- in a three-year to four-year time frame? What margins can the segment generate? I think the margins we're currently generating are really optimized profit margins. They could certainly improve, but we don't believe we mismodel our long-term growth at higher margins than we currently have. I think these sort of margins is what we can expect. And how fast we can go and grow, I certainly believe in the next four years, we will see growth of no less than 25% year-on-year. And I'm being quite conservative, but it's very much my personal view then. Then Sebastian [indiscernible]. What trends are Cartrack seeing in the South African competitive landscape? I think we have been in the market for 10 years less than our competitors, and we continue to grow our business, but both not only subscribers in subscription revenue. We don't rely on OEM low subscription revenue models in order to grow our subscribers. And we are not a company that's focused on white labeling. And you mentioned one of our competitors, that's great, growing subscriber. Who are they taking the share? I think the competitor you mentioning is very much around white labeling and not pushing through their brand. Rudi Van Niekerk. Could you please confirm whether the company will continue with the recently announced share buyback program? Rudi, yes, we will. Sebastian. Is Cartrack seeing the fleet size in South Africa growing given the failure of the rail network? I think it's still very early days, and I think the transport industry in South Africa is also in a bit of a disarray. However, what we are seeing is courier companies getting larger. But in terms of long-haul companies, we don't really see anybody getting bigger. Another question from Rudi Van Niekerk. What is the scope of scaling career logistics? Do you think it could grow to a level where to. I think I've answered that question, Rudi. So I'm reading the questions and answering it. That's why. Patrick O'Leary. Europe compromised 16% of your subscriber base. What countries have you penetrated in Europe given that Europe has a massive number of telematics suppliers. Are any European OEM selecting contracts that OEM offering as that happened in South Africa? So, Patrick, we've got, I would say, probably close to all the OEMs in Europe are dealing with us, and they've opted to use our platform. However, we still in very early stages in doing that. And we believe in the medium term, that's definitely going to be -- it's going to be a significant source of our business. Then a question from Dylan Becker. As you expand into new geographies called out new provinces in the quarter? I think, just -- Dylan, when we talk about the geography, we nearly, we refer to a country, and when we refer to provinces, we refer to -- we are for instance, in a very large country like Indonesia, but we only have presence in maybe two or three of the provinces. But there's a substantial -- there's a lot of large cities where we still have no presence, and that's what we refer to as provinces. With your quick ROI, are you seeing initial customer lands serving as references that are driving additional customer acquisitions to the market as brand awareness grows? Certainly. So, Dylan, as our brand gets stronger, we certainly get bigger momentum in the business. And in a lot of these geographies, we started to get a lot of brand recognition, but I still think we -- in a lot of them, we still fall from being a very strong brand. Clearly, in certain countries, we already are a very strong brand, but in some countries, we still building the brand. Chris Logan. Can you please provide some insight into what factors are necessary to substantially accelerate subscriber additions in Southeast Asia from the current 24%, possibly back towards the growth levels pre-COVID pandemic severe expects of 55% and 58%? Chris, I think it just really us building our distribution, which I believe we've made really good progress in FY '24. I think that progress is going to serve us well in FY '25 and beyond. But we continue to expand into other provinces in the countries we operate. So as we build our capabilities to distribute, we will certainly get back to much higher levels of growth. Another question from Rudi Van Niekerk. How does the gradual adoption of EVs impact Cartrack's business? Our platform is able to deal with EV vehicles. We've integrated with a lot of EV vehicles, and in actual fact, we got one OEM sending us their vehicles, actually, two OEMs sending us their EV vehicles. So, for us, it's well advanced with our EV technology. I want to thank everybody for joining. There's another question from Miles Ferrie. Any acquisitions in the pipeline? No, Miles. Not at this stage.
Zak Calisto: I want to thank everybody for attending, and I'll -- we'll speak again at our Q1 results. Thank you. Bye-bye.